Operator: Good morning, ladies and gentlemen, and welcome to Comcast’s Fourth Quarter 2013 Earnings Conference Call. (Operator Instructions) I’ll now turn the call over to Senior Vice President, Investor Relations Mr. Jason Armstrong. Please go ahead, Mr. Armstrong.
Jason Armstrong: Sure. Thank you, operator, and welcome, everyone. It’s a pleasure to be here and I’m really excited to have recently joined Comcast. Joining me on this morning’s call are Brian Roberts, Michael Angelakis, Steve Burke, and Neil Smit. As we’ve done in the past, Brian and Michael will make formal remarks, and Steve and Neil will be available for Q&A. I know in my prior role, I would have been tempted to ask the question about recent press headlines around the consolidation in the cable sector. But our intension here today is to talk about our fourth quarter and 2013 results and we have no comment on press speculation or potential industry consolidation. Let me now refer you to slide number two, which contains our Safe Harbor disclaimer, and remind you that this conference call may include forward looking statements subject to certain risks and uncertainties. In addition, in this call we will refer to certain non-GAAP financial measures. Please refer to our 8-K for the reconciliation of non-GAAP financial measures to GAAP. With that, let me turn the call to Brian Roberts for his comments. Brian?
Brian Roberts: Thank you, Jason. And let me officially welcome you to Comcast and to this earnings call. We are all delighted to have you leading Investor Relations. We just celebrated Comcast’s 50th anniversary and it was a wonderful and emotional experience for many of the employees in the Company, and a chance to reflect on the past. But I have to say the best part is really thinking about our future, where the Company is headed, and all the opportunities that lay before us. And as we exit 2013, we really have strong momentum across all our businesses and we’ve achieved some fantastic financial milestones in 2013. And today we’re reporting results for the fourth quarter and a full year 2013, strong results to demonstrate our confidence and optimism in the future of all our businesses, so we are increasing our dividend 15%, increasing our stock repurchase program authorization to $7.5 billion and announcing our plan to repurchase $3 million of stock during 2014. Combined, this represents an increase in capital return to shareholders of over 30% from 2013 levels. We remain committed to returning a significant percentage of our free cash flow to our shareholders every year. Michael will discuss our results in more detail, but I want to provide a few highlights for both the fourth quarter and the full year performance. So let me start with cable, which had a really strong year of revenue and operating cash flow growth. Our focus on innovation and enhancing the customer experience has driven meaningful improvement in our Triple Play subscriber trajectory. In fact, our customer metrics across each category of video, data and voice, improved in the fourth quarter and also improved for the full year. In video, we added 43,000 subscribers in the fourth quarter which was really a remarkable improvement after 26 straight quarters of subscriber losses. High speed data continues to lead the way in both revenue and subscriber growth. We added nearly 1.3 million customers in 2013, which is a 6% increase and eighth year in a row of more than 1 million customer additions. And the bundling efforts continue to drive strong uptake of voice and we added nearly 800,000 voice subscribers in 2013. And finally business services remains a critical growth driver adding close to $700 million and very profitable revenue growth last year. All in all, it was a fantastic year for cable and we ended on a high note with a very strong fourth quarter. The XFINITY brand is taking hold and the team is delivering consistent performance quarter after quarter. Neil Smit and all of the folks at Comcast Cable are doing a fabulous job. At NBC Universal, Steve Burke and his team had a year that was just as successful. In fact I believe the single most important decision of 2013 was buying in the remaining 49% common stake from GE. We feel great about the improvements at NBC Universal, which have significantly exceeded our expectations. Let me go through some of the highlights. Our cable networks continue to drive NBC Universal’s profitability. USA remains the highest rated cable entertainment network for the eighth year in a row and Bravo continues to rise again, gaining meaningful traction with its eighth consecutive best year ever. Over at broadcast, NBC ended this past fall in first place for prime time. And even without sports NBC was still tied for first place in the 18 to 49 demo. In 2014 we turned a ramping production and building a strong pipeline for 2015. NBCU is a wonderful diversified portfolio media asset and all four major segments of the business had strong performance in 2013. So as we think through the priorities for 2014, we’re excited about our businesses and are going to continue to invest to enhance our differentiation and to drive growth. We are innovating faster than ever before and our investments are paying off. We will continue to invest in high speed data with a focus on delivering the fastest speeds to the home as well as the fastest speed within the home. And with only 38% broadband penetration of our homes passed, we believe there is a significant room for continued growth. We have now increased speeds 12 times in 12 years. In addition, we currently have wireless gateways installed in over one third of our high speed data homes and expect 2014 to be another significant year of deployment. Our X1 service is now available in all of our markets and we will accelerate our spending around this deployment, intending to reach the majority of our customers in the next few years. Michael will talk more about this in his remarks, but the initial user feedback in customer metrics are very encouraging. We will also continue to aggressively extend our reach and capability set in the small and mid-sized business segment where we still see substantial opportunities for profitable growth. So I think this is truly an exciting time in so many ways for our cable business. Turning to NBCUniversal; we entered 2014 with the Olympic Games just a couple of weeks away. Let me spend a few moments here because the games are an incredible opportunity to start off the year and our plan is pretty amazing. We're going to deliver the most comprehensive Winter Olympics we've ever had. We will have roughly 500 hours of TV coverage across the NBC broadcast network, NBC Sports, USA, CNBC and MSNBC. As a result, I am pleased to say that our ad sales are at an all-time record for Winter Games. The games are also a great way to demonstrate the type of innovation and integration we continue to drive across the entire company. Every event is going to be available live online for the first time ever in the Winter Games. This will equate to roughly 1,000 hours of live streaming available at NBCOlympics.com, at our NBC Sports Live Extra app. Like no other event to-date, the Olympic Games have been and continue to be a watershed moment and opportunity for TV everywhere helping to drive awareness and usage. So offset [ph] subscribers will be able to consume our content both in and out of the home and on mobile platforms. It really is a fantastic way to start the year and a great way to showcase the strength and the integration of our wonderful portfolio of assets. Let me know turn it over to Michael to cover the results in greater detail.
Michael Angelakis: Good morning. Thank you, Brian. 2013 was a strong year with financial strategic performance for the company and we are very pleased with our fourth quarter and 2013 full year results which reflect consistent execution, profitable growth and the fundamental strength of our businesses. Based on our confidence and the core strengths of the business and our positive operational momentum, as Brian just mentioned, we are increasing our total return of capital to shareholders in 2014 by more than 30%. I will address our 2014 financial strategy a bit later, but now let's discuss our business performance for 2013 in more detail. Let me begin by briefly reviewing our consolidated financial results on Slide 4. For the full year, excluding 1.2 billion of revenue generated by the London Olympics and 259 million of revenue from the Super Bowl in 2012, consolidated revenue increased 5.8% to 64.7 billion. On a reported basis, full year consolidated revenue increased 3.3%. Full year 2013, again excluding the impact of the Olympics in 2012 and costs associated with the termination of a pension plan this year, our operating cash flow increased 8.3% to 21.5 billion. On a reported basis, consolidated operating cash flow increased 7.3%. Free cash flow for 2013 increased 6.9% to 8.5 billion and free cash flow per share increased 9.2% to $3.19 per share. This growth was primarily driven by increases in the consolidated operating cash flow and some timing benefits in working capital related to the performance of our film slate, as well as favorable comparisons to production spending and the rights for 2012's Olympics. These improvements were partially offset by increased capital expenditures and cash taxes. On a reported basis, full year earnings per share increased 12.3% to $2.56 from $2.28 in 2012. However, excluding gains on asset sales, favorable tax adjustments, investment losses and pension termination costs, EPS grew 28% to $2.47 per share in 2013. Table 4 in our press release provides more detail on EPS. These healthy consolidated results reflect a strong execution in performance of both our cable and NBCUniversal businesses. Now let's review the results of our business units in more detail starting with cable communications on Slide 5. In 2013, cable communication had another year of strong financial results and improved customer metrics. Cable communication's revenue increased 5.6% to 41.8 billion for the full year reflecting solid growth in our residential businesses and continued strength in business services partially offset by lower political advertising. In 2012 we generated 240 million of political ad revenue making our 2013 comparisons challenging. As a result, cable advertising revenues declined 4.2% for the full year. However, excluding the political ad revenue, core cable advertising increased 4.8% for the full year. Excluding advertising revenue, the cable business has generated consistent results with the revenue increasing 6.2% for the year which is consistent with the growth rate in each of the last six quarters as we've appropriately balanced financial and customer growth. We continue to experience real strength in our customer metrics and ended the year with improvement across all of our products. In the fourth quarter we added 649,000 total video, high speed Internet and voice customers, a 29% increase in net customer additions over last year's fourth quarter. For the year we added 1.8 million total customers, a 17% increase in net additions compared to 2012 despite a more competitive environment with an additional 2.3 million overbuilt homes in our markets this year. These results demonstrate we are competing better and have intensified our focus on customer retention in the value of our Triple Play strategy. We are growing our customer relationships, increasing the number of customers receiving higher levels of services and have an increasing number of customers taking multiple products. At year end, 79% of our video customers took at least two products and 44% took all three services versus 40% in 2012. As Brian mentioned, we added 43,000 video customers in the fourth quarter. This marks improvement over the 7,000 video subscriber losses in last year's fourth quarter and the first time we've gained video subscribers since 2007. For the full year, we reduced video losses by nearly 10% compared to 2012 even with an aggressive increase in our overbuilt service areas. Our excellent platform and industry-leading on-demand service are best-in-class products and we are successfully upgrading non-video customers and improving retention. High speed Internet also delivered impressive subscriber performance as we added 379,000 new customers in the fourth quarter, an 11% increase over last year. For the full year we added 1.3 million new customers, the eighth year in a row that we added more than 1 million high speed Internet customers and now have a total of almost 21 million high speed Internet customers. Voice also delivered solid growth. We added 227,000 new customers in the quarter, a 35% increase. For the full year, we added 768,000 new customers for a total of approximately 11 million. This is a 25% for the year over 2012's net additions as we have successfully converted single and double-play customers to Triple Play and acquired new Triple Play customer relationships. At the end of 2013, our voice penetration was 20% of homes passed. As we review the individual service categories, we reported healthy video revenue growth of 2.3% for the fourth quarter and 2.9% for the full year, driven by the impact of rate increases in an increasingly number of customers taking advanced services. We added 658,000 advanced service customers in 2013 and now have 12.4 million high-def and/or DVR customers, equal to 57% of our video customer base. High-speed Internet revenue was again the largest contributor to cable revenue growth, as revenue increased 8.7% for the quarter and 8.3% for the year, reflecting continued growth in our customer base, rate increases in an increasingly number of customers taking higher speed services. At the end of the year, 36% of our residential high-speed customers took at least a 50 megabit speed. Our high-speed Internet service is clearly capturing market share as we continue to improve and differentiate our product through service and speed enhancements. Voice revenue increased 3.7% for the fourth quarter and 2.8% for the full year, driven by growth in our customer base as we continue to focus on the value of the Triple Play. Business services was the second largest contributor to cable revenue growth for the quarter and for the year, with revenue increasing 25.3% in the fourth quarter and 26.4% for the full year as total 2013 revenue was 3.2 billion. The small end of the market where businesses with less than 20 employees continues to grow nicely and we’re focused on executing our market by market plan. We are also making progress penetrating mid-size enterprises and this business now represents 20% of this group’s revenue and is growing at an accelerated rate. Business service’s continues to experience momentum and represent a large and attractive opportunity for the company. With approximately 10% to 15% market share this is a substantial opportunity for additional growth. When you evaluate our cable business in aggregate, our total revenue per video customer reached $164 per month in the fourth quarter, a 6.8% increase over last year. Now let's move on to Slide 6. In 2013 cable communications operating cash flow increased 5.8% to $17.2 billion resulting in stable margins as we effectively managed higher programming expenses and absorbed increased expenses to support new initiatives in the deployments of X1 and wireless gateways across our footprint, as well as the expansion of business services and XFINITY Home. Programming expenses increased 8.6% in 2013 slightly below our original estimates but nonetheless reflecting higher rates in step ups related to certain agreements in increasing retransmission consent fees in sports program and costs. As we look to 2014, we expect programming expense growth to accelerate to approximately 9% to 10% for the year driven by several factors including once again meaningful increases in retransmission consent fees, higher sports programming costs and step ups for recently completed long-term agreements. In addition we continue to be very proactive in expanding our on-demand library, in expanding our rights to multiple platforms. We believe we're leading the industry by offering the most robust on-demand and TV Everywhere services giving us a meaningful competitive advantage. We once again believe we have appropriately planned for these programming expense increases and are confident we can effectively offset these costs through modest rate adjustments, further efficiencies and improving product mix as well as increasing the number of customers upgrading to higher tiers of service. As a result we expect to maintain relatively stable margins. We continue to achieve efficiencies in our operations and improve our customer experience with improved customer service tools and self service options. At year end more than one-third of our customers are managing their accounts online with 9 million unique visitors, a 42% increase over the prior-year. In addition more customers are electing self installations which accounted for 42% of our total installations in 2013 compared to 30% last year. As a result of these efforts we reduced our truck rolls by 3.5 million in 2013 and in over the last two years we’ve reduced our truck rolls by approximately 8 million. We’re also more efficient and specialized in our call centers with centers of excellence dedicated to sales, billing, service and retention. Just as a reminder, when we report first quarter earnings in April we’ll be changing our disclosure of customer metrics from an SEC equivalent or EBU basis to a billable unit’s methodology. At the end of the first quarter we’ll also restate our customer metrics for 2013 making it easier to compare 2014 metrics as we report them. We believe this change will reinforce our operating focus on customer relationships and align our customer count methodology with the rest of the industry. To wrap up the cable segment our XFINITY brand continues to build positive awareness and our performance in 2013 clearly demonstrates that we are executing well and competing effectively with our improved products and services. We are pleased that the cable group has delivered strong, consistent results, and in 2014 we remain focused on sustainable profitable growth and plan to build on this positive momentum. Now lets move on to NBC Universal results which are presented on Slide 7. Excluding any impact from the Super Bowl and Olympics in 2012, NBC Universal’s full-year 2013 revenue increased 5.7% and operating cash flow increased 18.7% reflecting strong results across all business segments. For 2013 on a reported basis NBC Universal’s revenue decreased 0.7% and operating cash flow increased 15.2%. Now let’s take a closer look at the individual segments at NBC Universal. Our cable networks generated full-year 2013 revenue of $9.2 billion an increase of 5.4% driven by 6.5% increase in distribution revenue and 4.3% increase in advertising as ratings pressure at some of our cable networks was offset by higher pricing. Cable networks operating cash flow increased 6% to $3.5 billion in 2013 reflecting improved revenue performance partially offset by an increase in programming and production costs as we continue to invest in original programming and experience higher sports cost reflecting more NHL games this year versus last year and the launch of the English Premier League on NBC Sports Network. In addition we had higher advertising, marketing and promotion expense to support the launch of these new shows and events. With regards to our broadcast segment, we ended the year on a strong note with fourth quarter revenue increasing 11.5% to $2.2 billion and operating cash flow growing 54.8% to $140 million driven by higher primetime ratings from the success of The Voice, The Blacklist and Sunday Night Football. Full-year 2013 results were a bit muted due to difficult comparisons to 2012 that included a Super Bowl, Olympics and higher political advertising. However excluding the Super Bowl and the Olympics, broadcast revenue increased 5.4% and operating cash flow increased 45% to $345 million in 2013 reflecting the meaningful progress we have made in this business in terms of improved ratings, higher advertising revenue and increased retransmission consensus. Moving to film entertainment, 2013 was a record year for NBC Universal as it enjoyed the best Box Office performance of its history, driven by outstanding success of Despicable Me 2 as well as the strong performances of Fast & Furious 6 and Les Misérables. As a result revenue increased 5.7% to $5.5 billion and operating cash flow increased over $400 million to $483 million in 2013. Switching to our Theme Park segment, we had another terrific year. Full-year revenue increased 7.2% to $2.2 billion and operating cash flow increased 5.3% reaching $1 billion for the first time a very exciting milestone for this business. The strong results were driven by strong attendance and per capita spending at both parks reflecting the continued success of Harry Porter in Orlando and the Transformers attraction at both parks. To summarize NBC Universal we are just very pleased with the progress made at NBC Universal and since the original announcement our operating cash flow has increased approximately 50% on a pro forma basis. Now let’s move to Slide 8 to review our consolidated and segment capital expenditures. We believe that operational excellence and strategic differentiation drive shareholder value. So we have an operating strategy that is execution focused and a financial strategy that is focused on risk adjusted returns. Our strategy support these goals by investing in our business where there are attractive opportunities, maintaining a strong balance sheet and providing a consistent and sustainable return of capital to shareholders. Our number one priority remains generating strong and sustainable returns by investing in our businesses. In both cable and NBC Universal we are investing to strengthen our competitive positions and to support attractive organic growth opportunities. As we planned 2013 consolidated capital expenditures were $6.6 billion compared to $5.7 billion in 2012 reflecting increased investments at both cable and NBC Universal. At cable communications 2013 capital expenditures increased 9.8% to $5.4 billion equal to 12.9% of cable revenue. This capital plan primarily reflects higher spending on CPE including our new X1 boxes and wireless gateways. Our continued investments in network infrastructure to ensure our leadership in video and high speed internet as well as the expansion of new services such as business services and XFINITY Home. In 2013 we began the deployment of our X1 service and we are very pleased with the early customer feedback. Clearly this is an improved experience for our customers making it easier to navigate through the 10s and 1000s of content choices we offer. Early results show that X1 customers use our video-on-demand service more and our VOD revenue for these customers is higher. In addition more X1 customers are subscribing to DDR and upgrading to Triple Play. And we are also seeing reduced churn levels among these X1 customers. Based on the early positive customer results and strong double-digit returns of X1, we plan to accelerate the pace of deployment to reach the majority of our video customers over the next three years. In addition to this X1 acceleration, we plan to deploy additional wireless gateway to enable our customers to receive the fastest in-home Wi-Fi, increase network capacity and continue to invest to fuel the expansion of both business services and XFINITY Home. As a result, our 2014 capital investment plan will increase approximately 100 basis points to approximately 14% of cable revenue from approximately 13% in 2013. At NBCUniversal, in 2013, we had a similar approach. Capital expenditures increased 397 million to 1.2 billion, primarily driven by increased investments in theme parks as we build new attractions including Transformers and expansion of Harry Potter and Orlando and Despicable Me and Harry Potter in Hollywood. In 2014, NBCUniversal's capital investment plan remains stable at 2013's level as we continue to invest in theme park attractions including Harry Potter at both parks. Our theme parks' OCF has increased from 400 million in 2009 to over 1 billion in 2013 as a result of new investment. Over the same time, combined attendance at both parks has increased over 40%. We remain excited and optimistic about the next phase of Harry Potter opening in Orlando this summer and expect this to generate strong returns by increasing profitability and attendance and continuing the transformation of our parks into must-visit destinations. The vast majority of both cable and NBCUniversal's investment plans are growth-oriented capital and should yield attractive IRRs coupled with strong strategic advantages. Let's move on to Slide 9. We continue to have a strong commitment to deliver a consistent and sustainable return of capital to shareholders through a combination of dividends and buybacks. In 2013, we returned 4 billion to shareholders and with today's announcement our total return of capital is increasing 32% to 5.2 billion in 2014. This incorporates a 15% increase in our dividend to $0.90 per share on an annual basis and a plan to repurchase 3 billion of our stock in 2014, a 50% increase compared to our 2012 buyback. This total return represent a payout of 62% of our last 12 months free cash flow and 77% of our last 12 months net income. In addition, our Board of Directors had increased our stock repurchase program authorization to 7.5 billion. We have consistently increased our annual dividend since we instituted it in 2008 at $0.25 per share. Today, a newly announced level of $0.90 per share represents 33% of our last 12 months net income and raises our current dividend yield to approximately 1.7% which is relatively in line with the S&P 500. Since 2008 and through our return of capital commitments in 2014, we will have returned 24 billion to shareholders including 9 billion in dividends and repurchasing 15 billion in shares. By all measures we believe 2013 was a very successful year. As we begin 2014, we are positive and feel very good about our financial strength, our operating momentum and the attractive opportunities ahead at both cable communications and NBCUniversal. We look forward to executing on those opportunities ahead and continue to achieve profitable growth and build value for our shareholders. Now, let me turn the call back to Jason for Q&A.
Jason Armstrong: Thanks, Michael. Operator, let's open up the call for Q&A please.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Our first question comes from the line of Jessica Reif Cohen with Bank of America Merrill Lynch. Please go ahead.
Jessica Reif Cohen - Bank of America Merrill Lynch: Thanks. One for NBC and one for cable, if that's okay. For the NBC, your numbers came in above what I think most of us expect from other media companies and it looks like you're really heading your stride at this point, but there still seems to be a lot of untapped potential at basically every division. So just to help me, maybe Steve could address what you see as the biggest areas of upside as we go forward?
Steve Burke: Well, Jessica, as Mike said in his introduction and when we looked at the company before we ended up doing a deal with GE, cash flow – since that point cash flow has increased 50% and we feel like we still have a long way to go. And the opportunity exists, I think, pretty much across the board. We're investing a lot more in the theme parks going from 400 million of cash flow to over 1 billion. We think that cash flow in the theme parks can increase significantly with investments like Harry Potter to hotels and other investments in the future. I think broadcast television has a long way to go. We now have ratings. First, you got to get the ratings; then you can sell the ratings if there is sort of a lag variable. So I think broadcast has real upside. We seem to be hitting our stride and being a little bit more strategic with our portfolio when in film. And of course we've got a great group of cable networks. We do feel there's a monetization gap between how we're doing in terms of ratings and box office and everything else and the amount of operating cash flow we're generating, but pretty much everywhere you look we still think there's a lot of opportunity. And as you said, we believe we're off to a good start but there's plenty more to go.
Jessica Reif Cohen - Bank of America Merrill Lynch: Okay. And then on the cable side, how much of a factor was X1 in terms of positive video subs, is this – I guess what I really wanted, is this looking a reverse course on a full year basis?
Neil Smit: I think X1 was not really a material part of the fourth quarter positive sub numbers. It's a great product. We're rolling it out across the country. As of today, we have it across 100% of the footprint. We're seeing great results, cut-through status. Like the guide more than the other guides video. VDO; metrics are up 25% on views and 20% transactions. Churn is down. So we're really pleased with the results. I think it's going to take a while before we go positive for the year, but we're clearly going to be aggressively rolling out X1 based on the strong double-digit returns we're seeing with it.
Jessica Reif Cohen - Bank of America Merrill Lynch: Thank you.
Jason Armstrong: Operator, next question please.
Operator: Your next question will come from the line of Ben Swinburne with Morgan Stanley.
Ben Swinburne - Morgan Stanley: Thank you. Good morning. A couple of cable questions, Mike or Neil. You guys talked about the advanced product penetration. I think its well above 50% now. And a lot of the investments you've been making have taken – it seems like it's taken the customer base to maybe a more premium customer base. I'm wondering if that's been a strategy of yours. Maybe can talk about the sort of B1 or low end of the market that you've got left at this point? And does this equate to greater pricing power, lower churn over time as you sort of deepen the advanced product and as you mentioned, well, we haven't even seen sort of the benefits with X1 yet? And then next, sort of a quick follow-up on commercial?
Neil Smit: Well, we are focused on our high value customers and we do feel that our role is to continue to add value to our products and suite of services. The X1 platform is a big step forward because you can launch other products off there. For example, we launched EST, electronic sell-through where you can buy a movie off the platform and there was the top selling Fast & Furious and Despicable Me to retail channel for – with the Thanksgiving holiday. So it's a very powerful platform. I think going forward we're very focused on the high value steps. We've step up a differentiated treatment for those subs in the call centers. And what we did during the quarter is the connect volume overall was up but the disconnect volume or its index down, so that's what resulted in the positive subs.
Michael Angelakis: One thing I'll just chime in on, Ben, is obviously we're really focused on bundling and you can see the percentage of our Triple Play bundle is continuing to increase by about 400 basis points year-over-year. So that is really adding value to our customer base. And as you move up that bundle from single to double, triple, obviously you have lower churn, which is certainly helpful. So the whole customer lifetime value increases on the Triple Play which is something we are very focused on in terms of how you think through advance services and returns and those kinds of things.
Ben Swinburne - Morgan Stanley: Right. And then just quickly on the CapEx increase which looks like about 600 million or 700 million or so on cable. You mentioned commercial, Mike or Neil either one of you, how much of this is now sort of penetrating the medium size? I think you guys have talked a lot about sort of small business being the predominant source of revenue, but I would imagine it's a little more capital intensive as you get into the larger enterprise area.
Neil Smit: Well, right now the enterprise, the mid-sized business is about 20% of the overall. It's up from 15% quarter two ago, so it is growing at a faster rate than the small size business. It does require more initial capital per unit per building, if you will, but you get stronger returns over time. We are pleased with the product suite. It’s an accretive business to us and the team, Bill Stamper and team have done a great job just pulling together the organization and focusing on those opportunities. But SME is still the largest percentage of our overall revenue next year.
Michael Angelakis: So when you look at capital for 2014 the increase -- there is some increase in business services which Neil said is really terrific returns and we go through them very frequently. And the SME side is great and majority of it is really around the accelerated deployment of X1 which also as I mentioned has great double-digit returns and also has other strategic advantages which are really important. So, commercial services is part of that increase and X1 is a larger part.
Ben Swinburne - Morgan Stanley: Got it. Thanks a lot.
Jason Armstrong: Operator, next question please?
Operator: Your next question will come from the line of Doug Mitchelson with Deutsche Bank.
Doug Mitchelson - Deutsche Bank: Thanks so much. Michael gave the strong double-digit returns for X1. Neil, are you willing to walk through the economics of X1 in any more detail given the big ramp in investment this year and I’ve got a couple of follow-ups on that.
Neil Smit: Sure. Let me run through a few of the stats. One is we’ve rolled it across the entire footprint. We’ve opened the gate, it used to be just available for Triple Play customers, it’s available for some Double Play customers as well. So we’re rolling it out more aggressively. We’ve already in -- as of the end of the month everyone will be getting the new what we code named X2 guide. So it shows you how quickly you can change a software platform from X1 to X2 is a better user experience and I think if you lay that great improved user experience on top of all the content rights that we have, that Michael refer to and our TV Everywhere rights in and out of Home rights, it’s a very powerful combination. About 65% of the X1 subs rate the excellent guide of superior to their other guide experiences. VOD viewing goes up 25%, VOD transactions were up 20%. More X1 customers want DVR -- and X1 there is a larger percentage of X1 customers who are Triple Play customers. So as you think about it, you're getting a higher ARPU per X1 sub. The rollout is going well, the platform is stable and as a -- another side of momentum building around the X1 platform, Cox recently agreed to partner with us to better understand what elements that the X1 platform might be useful to support their next gen video services across the various platforms. So we'll be working together to explore the opportunity to identify where X1 may be useful in their business.
Doug Mitchelson - Deutsche Bank: Right.
Michael Angelakis: To add Doug, one more data point is churn is actually down voluntary churn in our X1 base too. So you plug in all the variables that Neil just mentioned and literally our CLV increases and our IRS well into double-digits.
Brian Roberts: But let me just way in also that the -- there is some good trends happening as we look into multi-year strategy, the cost per home with Whole Home DVR, Cloud DVR and Second Devices as we’ve shown little smaller boxes that can attach to this platform that then allow in home experiences as well as second, third devices for much lower cost than the original X1 box plus the cost of the box itself. All those things are coming down in price and so there is -- we think that the ability to get this to many, many people is going to keep getting more and more economically better, the returns, are only going to improve as we go and so at some point you cross that line that we’re so excited about the initial feedback that they just began to roll out and we are pretty excited.
Doug Mitchelson - Deutsche Bank: So I think out of the 20 follow-up potential questions, I will limit myself to one. Just curious Michael how much is cable OpEx been impacted in 2014 for the roll out and is that a potential future tailwind as the investment spending winds down?
Michael Angelakis: To be honest in 2013, in 2014 we did absorb OpEx related to X1 in the roll out, but obviously we’ve managed through that. No different than us absorbing OpEx related to XFINITY home or business services expansion in SME. So its us, its part of the business and we’re able to power through that. We kept margin stable in 2013 and our expectation is we will power through that in ’14 and keep margin stable in ’14 as well. So, yes there is some of that.
Brian Roberts: I'll also add, Michael, that we have rolled out the DOCSIS 3 platform, we gone all digital, we’ve rolled out business services and we kept margins during that period relatively stable.
Doug Mitchelson - Deutsche Bank: Thanks so much.
Jason Armstrong: Thanks, Doug. Operator, let's move to the next question.
Operator: Your next question will come from the line of Phil Cusick with JPMorgan.
Phil Cusick - JPMorgan: Hi, guys. Thanks. First, a bit of a follow-up on Doug’s question. As a think about the typical price increases you’ve quantified after the first quarter each year. Can you help us think about what you're planning on in the first quarter or what you’ve already rolled as we think about year-over-year video subs? And then second Brian, conference a few weeks ago, you outlined 2014 as an investment year in film. Can you help us think about what the working capital drive for that business might be as we think of that free cash flow? Thanks.
Michael Angelakis: So I will take the rate increases question. Our rate increases are going to similar to previous years, in the 3% range. We’re rolling amount across the wider footprints than we did last year in the first quarter. So there will more people affected by rate increases. However, we feel good about the overall environment and we’re carrying some good momentum from Q4. So we got our head down and trying to improve. At the end of the day we’re trying to improve the results year-over-year, every quarter and we’ve done it ’11 about -- out in the last 13 quarters.
Brian Roberts: Well, I think that the -- just to finish that question, I think that’s the way to be judging us myself which is over these old periods of time are we making headway year-over-year, not positive or negative in any one quarter. But it's a great achievement and thank you Neil for the fourth quarter. As I think about 2015, I think Michael is better to talk about free cash. So I just think that Jeff Shell is now at Universal, very excited about the new opportunity and 2015 there the slate appears to be fantastically exciting. There is an investment that you can make in the year before. So it's a little bit of an up-and-down business in terms of the free cash flow way to judge it. We had a nice 2013, but Michael why don't you go through the detail?
Michael Angelakis: Yes. Let me just -- 2013 obviously film had a terrific year in terms of performance, in terms of operating cash flow. But there is a little bit later on the production spent in 2013 for the ’14 slate. As we -- and that’s obviously working capital benefit that we had in ’13 related to free cash flow. As we enter ’14, we have a great slate for 2015 that we’re going to more normalize our spend in ’14 and that's going to absorb some cash in ’14, which helps build that ’15 slate. So I think that’s what Brian meant at the conference and I try to articulate on my prepared remarks.
Phil Cusick - JPMorgan: Excellent.
Brian Roberts: So just to put some specificity around 2015 Steve, why don’t you just run through couple of movies?
Steve Burke: Well in 2015, we have Jurassic Park 4, Fast & Furious 7, Minions, which is kind of a sequel of Despicable Me -- the Despicable Me franchise, we have 50 Shades of Grey, we have a very, very strong year potentially Ted 2. So that investment is we’re incurring that investment right now as we gear up to what should be a very strong year for Universal in ’15.
Michael Angelakis: And so, just to clarify, I really look at this as a little bit of a normalization because ’13 was a little bit lower than one would have expected. And I think ’14 is going to be a little bit of a catch year in preparation for ’15.
Phil Cusick - JPMorgan: Great. That’s helpful. Thank you.
Jason Armstrong: Operator, next question please.
Operator: Your next question will come from the line of Craig Moffett with Moffett Research.
Craig Moffett - Moffett Research: Hi. Thank you. First congratulations Jason. I’ve got to say, I’m happy not to have to compete with you anymore. So a question about the Enterprise segment. I know you can’t talk specifically about what was reported last night, but I think -- I wonder as you think about what we might do down the road in the large Enterprise segment, whether Neil may be you could talk about what is that you need to put in place first and how do we think about the timeline over the next few years for you to make a real run at the large enterprise multinational corporation segment?
Neil Smit: Well as you know Craig we’ve been focused on small and mid size and we’re still only 10% to 15% penetrated there and see a lot of opportunity for growth there. On the enterprise side, we’ve been -- we are aware of the space, we are aware of the competition there. I think there will be network implication, there will be organizational implications. But right now we’re focused on small and mid for the time being.
Brian Roberts: The only thing I would just add is that one of the great things about this business for so many years is we find new products to sell using our existing base. Who would have thought of Wi-Fi being as great an add on to your in-home broadband and if we can get to larger businesses who will think of it very differently than they would have five years ago and in whatever cooperative manner than we can do that, it should be a business opportunity down the road right now going from small to medium. It's not even a logical thing to say someday, but it's not on the focus right at this moment.
Craig Moffett - Moffett Research: Thank you. And if I could add the follow-up, you mentioned Wi-Fi. Has your view of Wi-Fi as a real business separate and apart from this value-added to your existing broadband subscribers changed at all in the last six months or a year?
Brian Roberts: Well, I think we're paying careful attention to the technological innovation and the potential opportunity that it creates. We're hopeful that in the government thoughtfulness as to what to do with spectrum allocation for the country that Wi-Fi is very much top of mind because as I just said, who would have placed a tablet having this kind of explosive growth. Without Wi-Fi I don't think it would have happened. And so it's hard to completely predict it, but we are well positioned and we've added Wi-Fi – I mean I don't want it to be lost into every modem that we now put into people's homes and last year that was…
Michael Angelakis: 7 million…
Brian Roberts: 7 million times that we've installed this capability in people's houses and we intend to do that again this year. So, that may be in some ways the most important thing we've done. So is it an opportunity someday to add Wi-Fi to our network outside of the home? Well, we're doing that in some cities. We're testing different technologies. There are other companies who are also doing that for their own business purposes. And we just, for example, this week announced with the San Francisco 49ers that we're going to do their entire stadium and have new capabilities that they very well expand into your neighborhood and into your commute and patterns and into restaurants as we've already seen in a lot of cities. It's a very interesting area and I think it's synergistic for us and we're keeping tabs of it.
Neil Smit: I think that we should – we have almost 1 million hot spots right now that people are utilizing both in-home and out of home.
Craig Moffett - Moffett Research: Thank you.
Jason Armstrong: Operator, the next question please.
Operator: Your next question will come from the line of Marci Ryvicker with Wells Fargo.
Marci Ryvicker - Wells Fargo: Thanks. I have two questions. The first, Michael, you talked about accelerating programming costs and I was just wondering how much does your thoughts about sub trends chapter in? Meaning that the better the subscriber trends are, presumably the higher the P&L programming costs will be. That's the first question. And secondly, just generally thinking about your M&A strategy, one of the questions I think all of us are getting is how to think about would a domestic distribution deal have any impact on your ability to expand internationally and whether that would be distribution or content? Thanks.
Michael Angelakis: Okay. On programming costs, listen – number one, that's I think a high class program in terms of subscriber growth which I think you might mention. We are I think pretty diligent in negotiating our programming contracts and I think we're somewhat fortunate in 2013 where we had originally projected as our increasing programming costs, we came in lower, I don't know, 140, 150 basis points. Part of this is timing in terms of when contracts are up; part of it is retransmission consent. Those I can say somewhat are controllable but some not. And then part of it is really in terms of sports and some other areas. So it's a hard question because our goal really is to continue to improve on our subscriber trends and that obviously will have a positive impact in our sort of per subscriber program in costs. And I think Neil addressed that earlier. On M&A, the view really is on international we are a bit underweight. We've mentioned that. It's really our goal to be very educated on a country-by-country basis and see if there are opportunities for us whether it's distribution or content. That really makes sense from a shareholder value perspective. On M&A overall we're going to remain very disciplined. We're going to be – as I mentioned before, we're going to have our strategic filters in place. We'll have our financial filters in place and we're really going to evaluate that. So, it's all about can we get it value enhancing from a shareholder perspective and we want to be very focused, we want to be very educated, we want to make sure we look at everything. I think our shareholder base expects us to do that. But if we're to do anything, it's going to be value creative and that's really the focus right now.
Marci Ryvicker - Wells Fargo: Thank you.
Jason Armstrong: Operator, next question please.
Operator: Your next question will come from the line of Jason Bazinet with Citi.
Jason Bazinet - Citi: I just had a question for Mr. Roberts. Either organically or via M&A, would you say it's a strategic priority of the firm to be hedged, if you will, on content costs? Meaning today, I think you spend about $2 on content on the cable side for every dollar you get for content on the NBC side within cable nets. Is that a priority or is that sort of the long way to think about how you're thinking about the business?
Brian Roberts: Well, I don't actually think of it that way. I think it happens to be a fact and I think compared to many other companies that's a good fact if you're a shareholder because no one has a perfect crystal ball. But the bottom line is we love both businesses and that's what we said for many, many years all the way for me personally back to when I was on Ted Turner's Board. They were starting all these cable channels, they looked like great businesses that didn't make cable a bad business, it's just – it was a new business. And then finally is the synergy between the two companies and I think what you'll see during the Olympics, as a for instance is by understanding both businesses were smarter and maybe just a little better than we would be if we were two separate companies. And with the kind of hopefully culture and chemistry in the company and across the company that proves itself out, whether it's the electronic sell-through that Neil mentioned or what we're going to do with the Olympics in Sochi, both on the XFINITY side and on the NBCUniversal side. And I think we're creating something very, very special. And as an investor, yes, you get the fact that if programming costs are going up or there's a new type of utilization that causes that cost to go up, we're on both sides. We're helping to innovate and make that possible and I like that balance that the company has.
Jason Bazinet - Citi: Thank you very much.
Jason Armstrong: Operator, next question please.
Operator: Your next question will come from the line of John Hodulik with UBS.
John Hodulik - UBS: Great. Thanks. Three quick ones. First, as it relates to table CapEx, I know Michael you don't want to give sort of longer term guidance but that 14% in '14, should we think of that as sort of a peak level or could you see it drifting higher than that in '15? And then given the increased investment you're putting into the home with the X1 box and modems, it sounds like you expect that to eventually be a driver of better video trends going forward with a lower churn. How about pull-through effects on the broadband side, right? Here you'll be able to some more Triple Play, again better capabilities. Do you expect that improve trends on broadband? And then lastly on the leverage, I guess this is a follow-up to the M&A question. You said 1.5 to 2 is your target but have you guys said that you would be willing to go above that if in fact there's a better – there's an M&A opportunity that made sense, would you be willing to go above to that extent?
Michael Angelakis: Okay. On the CapEx side, we said 2014 will come in approximately 14%. You're right, John. We don't give guidance going forward and the vast majority of our capital is actually growth-oriented capital. So I think we really want to take a look as we go through the year on the success of that deployment and that's really part of the plan. If it's successfully deployed, that's terrific and we'll reevaluate as we enter towards the end of '14 of what '15 will look like. So we're hopeful that the deployment will be successful. I don't know what peaked in – I really don't want to get into that, but I just want to make sure that you understand that the vast majority of our CapEx is growth oriented and we have checkpoints along the way to make sure that the deployment is successful and generating the financial returns and strategic returns were impending too. Do you want to take the one on the…?
Brian Roberts: Concerning X1 and its impact on other customers or RGUs, we have seen that excellent customers are more likely to upgrade to the Triple Play. We have seen that they are generally – they request DVRs more, they over-index in that category. So I think it will have a positive impact on insurance. We know Triple Play sub churn at a lower level and we think it will have a positive impact on ARPU as well as thereby [ph] upgrade to DVR and buy more VOD. Generally speaking, the product has been very well received by the field and by the customers and I think it will have a positive overall effect on the business.
Michael Angelakis: John, I'll go back to the leverage ones. So when we closed NBCUniversal, that was sort of nine, 10 months ago, our leverage popped up to about 2.4 times. And now we ended 2013 at roughly 2.3 times, so it's a modest decrease. It's really our goal, more medium-term goal to bring that leverage down to, as I mentioned, under 2; between 1.5 and 2 but we recognize that's going to take years, and I think that’s really all we can say that, I think we can do several things at once. We can invest for growth like we’re doing NBC and at Comcast cable. We can increase our returns of capital which obviously we announced today. I think we’ll modestly deliver over a number of years.
John Hodulik - UBS: Got you. Thanks guys.
Jason Armstrong: Operator, we have time for one last question.
Operator: Our final question will come from the line of Kannan Venkateshwar with Barclays.
Kannan Venkateshwar - Barclays Capital Inc.: Thank you. A couple of questions from me, first is on video subscriber growth during the quarter, I mean it's still a video (indiscernible) largely given the state of the housing market even now. So in that sense, given the overbuild in your footprint, just between your competitors, is it fair to assume that a lot of this is coming from the satellite operators? And secondly from a regulatory perspective there has been obviously a lot of movement over the quarter in terms of net neutrality as well as Supreme Court taking up the area of ruling and so on. So it would be great to get your thoughts on that as well as to whether things like pay for priority services could become real over time?
Neil Smit: So I'll take them in two chunks; one is the overbuild and the effect on the business, and then Brian I’ll turn it over to you for the regulatory issue. We had about $2.3 million overbuilds -- incremental overbuilds in the fourth quarter, the majority of those coming from AT&T. I think we performed well given that. The housing starts, so that didn’t really have a material effect and I think if we look to get a tailwind from those overtime that would be positive in the business. But we feel we are competing well on both the fiber side as well as the satellite side. And I think part of that is the X1 product it's performing well. I think part of it this is great execution by Dave Watson and the divisional teams. And I think part of it is where we’re targeting our marketing a little better, our services were getting better as Michael mentioned. We have 3.5 million fewer truck rolls where we have 45% of the installs are just self installs, 36% of the people manage their accounts online. So, I think we’re just executing better on the service front. Brian?
Brian Roberts: Well there was obviously the court ruling on the Verizon case, and we do not believe that the government is going to maturely order. The approach has taken for many years that would in some ways hinder our business objective going forward. We were a supporter of the internet order when it was originally drafted by the commission, because it was a nice balance between consumer interest and not interfering with network management and engineering decisions. And we are confident and hopeful that they’re going to continue to strike that balance. And so we’re supportive of working with the Chairman and the Commission on trying to find that balance. As I just sum up for the year in this quarter, in my opinion we’re also trying to find a balance between really strong operations, I think both at NBC Universal and at cable we had a really strong year. And in finding opportunity like buying back the 49% stake for $18 billion in cash while still achieving the leverage targets that Michael just talked about and being able to increase the dividend and the buy back program. And I think we’ve done that. We have a great plan for 2014 and thank you all for your support.
Jason Armstrong: Great. We’ll leave it there. Thank you everyone for joining us.
Operator: There will be a replay available of today's call starting at 12.30 PM Easter Standard Time. It will run through Tuesday, February 4 at midnight Eastern Time. The dial-in number is 855-859-2056 and the conference ID Number is 24847495. A recording of the conference call will also be available on the Company’s website beginning at 12:30 PM today. This concludes today's teleconference. Thank you for participating. You may all disconnect.